Operator: Good day and welcome to the Pyxis Tankers’ Conference Call to discuss the financial results for the Second Quarter 2018. As a reminder, today’s call is being recorded. Additionally a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers Web site which is www.pyxistankers.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers and Henry Williams, Chief Financial Officer. I would like to now introduce the Pyxis Tankers Chief Executive Officer, Eddie Valentis. Please go ahead sir.
Eddie Valentis: Welcome everyone and thank you for joining our call for the three and six months results ended June 30, 2018. Before starting, please let me draw your attention to some important legal notifications on Slide 2. The comment you read including our presentation today which will include forward-looking statements. Thank you. Turning to Slide 3. Overall, our results for the second quarter 2018 were mixed. In Q2, we generated time charter equivalent revenues of $5.1 million, a 13.2% decrease over the same period in 2017. Our adjusted EBITDA was $1.1 million, a decline of quarter million dollar from a year ago. As the second quarter unfolded, the time charters for our medium range tankers rolled-off into a very difficult spot market at much lower rates. Weaker demand for MRs was caused by temporary market disruptions in the Atlantic basin, led by lower activity in the Gulf of Mexico, continued drawdown of refined product inventories in storage and intrusion of larger ships, including newbuild crude carriers, which transported clean products on their maiden voyages. For the quarter, TCE for MR averaged $11,240 per day, led by our eco units, which average over $1,100 higher at almost $12,400 per day. As for our small tankers, we experienced a nice improvement in trading activity compared to the first quarter of 2018. During this difficult environment we have continued to focus on costs. The success of our efforts in Q2 clearly demonstrated by our improved total operational costs, which we define as operating expenses, general and administrative costs and management fees per vessel per day. For example, our modern eco-efficient MRs achieved an average of just over $7,500 per day per vessel for the quarter, which we believe is very expensive compared to our peers. For the balance of 2018, we continue to expect chartering activity to be challenging, but with a modest upward trend as we move into the fourth quarter, which is seasonally a stronger period. We believe that long-term effect of fundamentals are moving in the right direction and consequently Pyxis should be well-positioned for an uptick in rate latter this year. Our disciplined cost structure should create operating leverage and enhance profitability when charter rates improve. Please turn to Slide 4 for the fleet and employment overview. As you can see, as of August 6, 2018 we had one MR fixed at $14,000 per day under short-term fixing. Our small tankers continue to operate in the spot market. We expect continue to utilize our chartering strategy of a mixture of time charters and spot voyages. Please turn to Slide 6, for a brief update on the product tanker market. A more detailed market overview is available in the back of our presentation. Generally, the chartering environment for MRs declined significantly from a year ago led by a very volatile spot market. In the period market the current one year time charter rate is estimated to be $17,000 per day for a standard MR2, which is lower than the beginning of the year and almost 60% below the last 10-year high of $24,300 and about $1600 per day below post global recession averages. Rate for eco vessels are typically higher primarily because of lower fuel consumption. The major reasons behind the soft market conditions over the last 2.5 years has been a combination of factors including high inventories of refined products worldwide, lack of arbitrage opportunities and a large number of new vessel deliveries. The stocking of petroleum products inventories and storage has occurred worldwide. At current levels are at 5-year averages. These lower levels combined with solid projected product demand should lead to a pickup in trading activity and hopefully a return global arbitrage rate. Turning to Slide 7, as previously mentioned, we expect the better market starting later this year, due to attractive long-term industry fundamentals of solid demand growth and diminishing fleet supply. Demand growth is estimated at 3% per year, led by increasing global consumption of refined petroleum products and moderating ton mile expansion from the changing refinery landscape. The changeover to more low-sulfur fuel in advance of month dated January 2020, will result in logistical distributions challenges in many ports. But should create more demand for MR especially starting second half 2019. The MR2 order book has declined significantly. And there are lower schedule deliveries for newbuild MR. A leading industry source estimates the current order book at above 6.8% over the worldwide fleet and expects fleet to grow by 3.4% in 2019, exclusive of potential delays and scrapping. New ordering continues to be relevantly low by historical standards. In addition, financial and operating problems of certain shipyards could result in further delay cancellations reducing schedule supply. In fact, slippage in scheduled newbuild vessel deliveries in recent years is around at 35%. Scrapping is likely to increase over the long-term due to the age profile of the global fleet and new environmental regulations. One industry source estimates that 26 MRs were demolished during the first half of calendar 2018, which is more than all of 2017. New regulations for ballast water treatment starting in September 2019 and low-sulfur fuel emissions are scheduled to come into play starting January 2020. Compliance with these regulations should necessitate significant additional capital expenditures per ship. Higher fuel costs in 2020 will likely encourage slow steaming, which in our opinion will decrease available supply by approximately 50 MR. Moreover, considering that 7% of the MR2 global fleet of 1,679 vessels is 18.5 plus years old, additional scrapping could further enhance the net supply outlook. Finally, access to cost effective capital including bank debt continues to be difficult in industry-wide and this has had an impact on the ability of operators toward the new ships, upgrade the existing ones and make vessel acquisitions. Turning to Slide 8, current MR2 asset values continue to provide an attractive opportunity to acquire second-hand tankers at reasonable prices. Based on data from a leading industry research firm, a newbuild Tier 2 MR2 currently costs $35 million, 3% below the 10-year average of $36 million. Similarly a five-year old vessel is valued currently at around $27 million, slightly lower than the 10-year average. So, our sector has positive long-term fundamentals, coupled with reasonable asset values, which we believe continues to translate into an attractive entry point to enhance stockholder value. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks Eddie. Let's start with our unaudited results for the three and six months ended June 30, 2018, on Slide 10. Our time charter equivalent revenues for Q2 2018, which we define as voyage revenues minus voyage related costs and commissions were $5.1 million, a decrease of $800,000 or about 13% from the same period in 2017, primarily as a result of a lower charter rates. We achieved daily TCE rates of $10,200 across our fleet of six vessels in Q2 2018, with fleet utilization of 91.4%. Our fleet-wide TCE for the second quarter of 2018 was approximately 12% lower, compared to a year ago period, primarily due to lower charter rates for our MRs. Turning to Slide 11, we generated a net loss of $1.3 million for the three months ended June 18, or $0.06 basic and diluted loss per share based on 20.9 weighted average shares outstanding, compared to a net loss of $800,000 or $0.04 loss per share based upon a lower share count of 18.3 million shares for the same period in 2017. Those results translated into adjusted EBITDA of $1.1 million for Q2 2018, representing a decrease of about $0.25 million from the same prior period in 2017. More specifically voyage revenues were $7 million for the three months ended, June 30, 2018, a decrease of $1.4 million 16.8% over the comparable period in 2017. The decrease was primarily related to a decline in charter rates. Voyage related costs and commissions of $1.9 million for Q2 2018, represented a decrease of $600,000 or 25% over the comparable period in 2017. This decrease was primarily attributable to lower charting activities which encouraged voyage related expenses. Vessels operating expenses of $3 million for the three months ended June 18, represented an decrease of $100,000 or 4.5% compared to the same period in 2017. G&A expenses of $600,000 for Q2 2018 declined 37% over the prior year, primarily due to the one-time expenses incurred in 2017 from the terminated public equity offering. Management fees payable to our ship manager, Pyxis Maritime and our technical manager, International Tanker Management, of $400,000 in the aggregate for the three months ended June of 2018 remained relatively stable, compared to the same period in 2017. Amortization of special survey costs and depreciation, which aggregated $1.4 million in Q2 2018, remained flat. Interest and finance costs, net for the for the three months ended June 30, 2018, increase $200,000 primarily due to a higher LIBOR rate, which is the basis of our bank loans. Turning to Slide 12, this reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel in one reporting period can have a disproportionate effect on the total fleet operating results. Focusing on the most recent quarter ended June 30, 2018, we would like to point out three key takeaways. The TCE for our two eco-efficient MRs averaged approximately $11,000 per day. The average TCE for small tankers was $7,700 per day with utilization up 80%, which was a significant improvement from the first quarter results. And finally, fleet-wide daily OpEx was approximately $5,600 a day up 4.5% improvement over the same period in 2017. Turning to Slide 13, we believe it’s important to review total daily operational costs to run and manage a public tanker company including overhead. These costs vary by fleet composition and vessel delivery company operating structure and management. In comparison to our peers, we believe that total daily operational cost of our young eco-efficient MR2s continue to be very competitive despite our small size. Turning to Slide 14, our consolidated leverage improved as net funded debt stood at $57.3 million or approximately 52% total capitalization. Overall, we have moderate leverage and no balloon payments for almost two years. The weighted average interest rate in Q2 was approximately 5%. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thanks Henry. We believe the fourth quarter will be the start of a sustainable stronger product tanker market leading to improving charter rate, cash flows and further asset depreciation. We should be in good position to benefit from a potential multi-year market recovery. The flow through higher charter rates over our relatively fixed cost operating platform should lead to enhance profitability. In conclusion, we feel confident in the long-term industry fundamentals and our position to capitalize on future events. I thank you for joining our call today and look forward to reporting on further progress at Pyxis Tankers.
Q - :
Operator: Ladies and gentlemen, that does conclude your presentation for today. Thank you for participating. You may now disconnect.